Operator: Good morning and thank you for participating in Q4, 2013 earnings conference call of Melco Crown Entertainment Limited. At this time all participants are in a listen-only mode. After the call we will conduct a question-and-answer session. Today’s conference is being recorded and I will now like to turn the call over to Geoffrey Davis, Chief Financial Officer of Melco Crown Entertainment Limited. Thank you. Please go ahead.
Geoffrey Davis: Thank you for joining us today for our fourth quarter 2013 earnings call. On the call with me today are Lawrence Ho, Ted Chan and Ross Dunwoody. Before we get started, please note that today's discussion may contain forward-looking statements made under the Safe Harbor provision of federal securities laws. Our actual results could differ from our anticipated results. I will now turn the call over to Lawrence.
Lawrence Ho: Thank you, Geoff. Good morning everyone. Our record results in 4Q 2013 concluded a very successful year for our company. 4Q, 2013 company EBITDA increased over 16% sequentially and over 45% on a year-over-year basis to $394 million U.S. Our performance continues to be driven by the strength in our mass market table games operations at City of Dreams, which once again outperformed the market, both in total mass table GGR growth and importantly on a GGR per mass table basis. We are encouraged by the depths in the premium mass segment in Macau, which we believe will continue to be supported by the infrastructure and overall development blueprint for the region, and continued economic strength in our core feeder markets as well some new quality supply, particularly additional hotel inventory and other non-gaming amenities. The competition at the premium end of the mass market dose not focus on discounting or excessive promotions, but rather on the quality of product and service, an approach where we hold a significant competitive advantage given our high quality assets to meet entertainment attractions and best-in-class service.  In addition to focusing on growing our top-line, we remain highly committed to advantaging our cost structure, including the reinvestment backlog success. The company wide commitment has enabled us to expand our luck-adjusted margins for the 10th quarter in a row. Our 4Q, 2013 luck-adjusted property EBITDA margin increased almost 400 basis points on a year-over-year basis to 28.6%. Our development pipeline continues to progress as planned. The City of Dreams Manila, will open later this year and will include the luxurious Crown Towers Hotel, as well as the recently announced Nobu Hotel and food & beverage concepts. Our purchase, the City of Dreams Manila is to offer local and international visitors a diverse selection of unique hotel food & beverage and entertainment brands and the attraction, which will essentially all be available upon opening. We will announce further exciting elements of the property over the coming months, which will broaden the appeal of the City of Dreams Manila and Manila in general as a leading entertainment destination in Asia. Studio City is on budget and is on track to open in mid-2015. Our fair development progress places us in a position through the next standalone, integrated results to open in Cotai, delivering an impressive complement to our current operating asset in Macau. The property’s exceptional location, directly adjacent to the Lotus Bridge, ensures the property will be a visitor’s natural first stop when traveling from Macau to the rapidly developing Hengqin Island. Our Tower 5 at City of Dreams in Macau is also making progress towards its late 2016, early 2017 opening timetables. This landmark and truly iconic structure will enable us to further expand our market leading position at the premium end of the market, with its hotel, food and beverage and retail offering, together with exciting gaming and entertainment areas expected to appeal to the highly sophisticated and discerning premium visitors to Macau. Looking beyond our current operations and development plans for Macau and the Philippines, we continue to be highly focused on positioning ourselves for the new gaming market in Asia, most notably Japan. We believe our company’s approach is to developing and operating high quarter integrated resorts with volume to cater to a most sophisticated customer base, combined with our world-class entertainment experience, resonates strongly in this potentially significant market. Owing to the success of our operating performance in Macau, I’m delighted that we have recommend to our board the payment of a approximately $191 million U.S. special dividend, reflecting a 30% payout of 2013 net income attributable to the MCEs. They’ve also recommended a new quarterly dividend policy, which is initially designed to distribute 30% of our net income attributable to Melco Crown Entertainment. So the special dividend and dividend policy are subject to order approval on the 25th of this month and in the case of the special dividend, we’ll also require shareholders approval at a later date. We believe our recommendation to the board to distribute capital to shareholders reflects an appropriate mix equally supporting our foreign operations, funding our exciting future growth pipelines and recording surplus capital to our shareholders, ensuring that will drive long-term shareholder value. We believe Macau is in a highly privileged position given its staff, yet potentially under penetrated addressable market, which together with strong support from local and the Mainland government will underpin Macau’s long term success. Finally, we have just completed what we believe to be a record Chinese New Year for Macau, a period where we have witnessed remarkable strength, particularly in the mass market segment. With that I’ll turn the call back over to Geoff.
Geoffrey Davis : Thank you, Lawrence. To be consistent with consensus estimates and to be more comparable to our peer group, we will provide commentary on our property level EBITDA and EBITDA margins. We reported property EBITDA of approximately $394 million in the fourth quarter of 2013 versus $271 million in the comparable period in 2012. Our property EBITDA margin in the fourth quarter of 2013 was approximately 28.5% compared to 24.9% in the fourth quarter of 2012 and 27.4% in the third quarter of 2013. On our luck-adjusted basis, assuming a VIP win rates of 2.85% across our entire rolling chip business, our approximate fourth quarter 2013 property EBITDA was a record $380 million. This represents an approximately 36% increase over the fourth quarter of 2012 and a 12% sequential increase from the third quarter of 2013. Driven once again by the strength of our mass market table games business at City of Dreams, where GGR grew over 57% from the comparable period in 2012, our 4Q ‘13 luck-adjusted property EBITDA margin increased almost 400 basis points on a year-over-year basis to 28.6%. The EBITDA contribution from our non-VIP segments represents more than 75% of luck-adjusted EBITDA at City of Dreams and over 70% of our luck-adjusted EBITDA on a group-wide basis, demonstrating increasing leverage to the fast growing and profitable mass market segment. From a fund raising perspective, we recently completed a 15 billion Peso, $340 million U.S. dollar equivalent, 5% senior note offering due 2019 at our majority-owned subsidiary Melco Crown Philippines, which when combined with the proceeds raised to the top-up placement completed in 2013, provides us with a fully funded plan to complete the construction of City of Dreams Manila consistent with our current budget. As mentioned by Lawrence, we have recommended to our Board the payment of a special dividend together with a new dividend policy. This is clear evidence of our company’s success in Macau, our proactive approach to managing our balance sheet, together with a strong commitment to distribute capital, which we believe is the surplus to our cash flow needs in Macau and Manila, while also providing us flexibility as it relates to future regional growth opportunities. As we normally do, we’ll give you some guidance on non-operating line items for the upcoming quarter. Total depreciation and amortization expense is expected to be approximately $95 million to $100 million U.S., corporate expense is expected to come in at around $24 million to $26 million and consolidated net interest expense is expected to be approximately $31 million to $33 million, which includes finance lease interest of $11 million relating to City of Dreams Manila and approximately $17 million of interest expense associated with Studio City, all net of approximately $18 million capitalized interest relating primarily to Studio City and City of Dreams Manila. That concludes our prepared remarks. Operator, back to you for the Q&A.
Operator: Thank you. (Operator Instructions) Our first question comes from the line of David Bain of Sterne Agee. Please ask your question.
David Bain - Sterne Agee & Leach Inc. : Thank you. First guys, congrats on the new divid policy and the results. I was hoping you can maybe expand on the January market rolling chip volume. It seemed a little bit below we thought. I think it was just up a few percentage points and that’s continued to look strong, but are you guys seeing any new trends there or can you give any thoughts on that segment in particular is that a calling timing thing or what do you think?
Lawrence Ho: Hi David, it’s Lawrence. I want to say thanks for your comments. Well, why don’t I hand it off to Ted to give us more details, but it think generally we were pleased with the growth and we continue our focus on table optimization and improving margin. At the same time I think the trickiness of the timing of Chinese New Year this year adds usually more often than not the days before Chinese New Year, the week before Chinese New Year is generally the slowest in the market, so I’m not surprised by that. I think if you look at the trends from last year, from 2013 and earlier on, the periods before Chinese New Year was the same thing. So you really have to look at both January and February. Kind of an aggregate to say better year-to-date basis, but Ted, are we seeing any new trends.
Ted Chan: Yes Lawrence, I think you’re right, the calendar on the Chinese New Year falls differently this year than last year. But you also see the same kind of pattern of last year Chinese New Year, post Chinese New Year. I think this year what we see from our side, the post Chinese New Year growth is exactly quite sustainable this year and so that’s the mass market segment.
David Bain - Sterne Agee & Leach Inc. : Okay great, and then Lawrence can we get your latest thoughts on the tax situation in the Philippines?
Lawrence Ho: Yes, sure David. Well, we’ve participated and actively engaged with the other concessionaires and operators in the Philippines and like we said on the last call, we are completely unanimous and working very closely with PAGCOR and we’ve been a – we’ve participated in other comfort setting where PAGCOR was discussing it with the IR and other congressional hearings and stuff like that. PAGCOR seems very motivated to have a good outcome, because ultimately the agreement that we have with them, they were covered on the tax. So we are still waiting for the government to work it through and at this stage there is nothing that would worry us, and we are just hoping that we get results sooner rather than later and the other operators who are already operating are completely in the same boat as us.
David Bain - Sterne Agee & Leach Inc. : Okay, thanks guys.
Lawrence Ho: Thanks David.
Operator: Thank you. And the next question comes from the line of Billy Ng of BofA Merrill Lynch. Please ask your question.
Hay Ling Ng - BofA Merrill Lynch: Hi, good evening. Thanks for taking my questions and congratulations on a very strong result. Two questions from me; the first one actually, I just wanted to follow up with your comment that the Chinese New Year was extremely strong. Just want to ask you about, like last year actually the tail end of the Chinese New Year was quite long and so like what I mean is like the second week we still see very strong numbers. So like what do you see for this year? Do you see like in the second week of Chinese New Year was the business still maintained at a very high level?
Lawrence Ho: Hey Billy, is Lawrence. Yes, you know business, I think the good thing about Macau is that it has become a much more sophisticated and mature market and it works out very well for our hotel room inventory and our resources as well, which is that you don’t have – I mean, you still have a ton of people coming in for the Chinese New Year and Golden Week, but as a lot of the real VIPs have figured out that, those are times of the year when its going to be a total jam-packed and so that’s kind of spilled over and has really contributed to a more stable, but heavy business flows. So I think overall that’s kind of continuing and so Ted, do you have any supplement to that?
Ted Chan: Yes, Billy I think I’ll give you a example for instant. This week we said, I think it is actually a little bit stronger, the average spent. So I think that post Chinese New Year, as you said the second week of Chinese New Year is fairly strong and we see some VIP customers also coming in this week and in the weekend. So I think the pattern is actually repeating from last year.
Hay Ling Ng - BofA Merrill Lynch: Thanks. And my second question is, regarding to the balance sheet and I think its very good news to see special dividend and also recurring dividend policy. Is there any target leverage ratio like the net debt to EBITDA? Given that there’s still a lot of opportunities out there like Japan or Korea, but how do you want to manage your balance sheet and to do overseas opportunities and also keeping some dividend at the same time. So like what’s the ideal net debt to EBITDA ratio? Is there a such thing that you have considered?
Lawrence Ho: Geoff, you want to take that?
Geoffrey Davis: Sure. You’re right Billy. We want to strike a balance between being able to keep the powder dry between the potential growth opportunities, but we still identified excess capital to also return to shareholders at the same time. At our stage, I suppose in our company and in this dynamic market we have so much growth opportunity going forward. Its less about a target gearing ratio at the moment, its more about being opportunistic. We don’t want to find ourselves at a target-gearing ratio and then have a great opportunity in front of us that would take us out of our comfort zone. So right now it’s more about being opportunistic, but we think we can do both. We can return shareholder capital, as well as pursue major growth outside of Macau.
Hay Ling Ng - BofA Merrill Lynch: Thanks.
Lawrence Ho: Thank you.
Operator: Thank you. And the next question comes from the line of Anil Daswani from Citi. Please ask your question.
Anil Daswani - Citi: Hi, good evening guys and congratulations on some of the great set of results. A couple of questions from me; the first one is, that was a very, very strong Altira on the mass side of COD. Is that a sustainable type of Altira or should we be assuming that there was a bit of luck in the mass side this time around.
Lawrence Ho: Ted, do you want to take, Ted you want to reply on of the questions?
Ted Chan: Yes Anil, I think we answered the question about our quarters. I think you we saw a combination of service and more so our four strategies. I think it’s very, very sustainable, especially in a sense that we see a lot of demand from this three month statement. Right now we are also putting some more table in the premium side of it, that will sustain the very high hold percentage in there. So I think that it’s at the current range, in the fourth quarter, we believe it’s very, very sustainable.
Anil Daswani - Citi: Thank you Ted. And the second thing I wanted to just touch base on is Altira. We continued to invest and there’s still repositioning taking place, moving tables etcetera from Altira to COD, because we haven’t really seen that property bounce back in the way that COD is doing.
Lawrence Ho: Anil, its Lawrence here. I think ultimately we are yield driven and margin driven and so naturally Cotai as we had predicted years ago, was going to be the main gaming center for Macau and for Asia for years to come and so we’re agnostic to where the business is coming from and who. We have to continue though, at the optimization process and move more tables from Altira to City of Dreams and that it obviously will be able to account significant results, and at the same time given our mass, the mass margin and the win per table and mass that we’re seeing. So I think from both, mass and VIP basis, we have significantly improved our win per table and we will continue to do that. So, I think that’s kind of a trend that we will – I don’t think we’ll be massively removing tables, but we will continue to observe market trends and continue to optimize.
Anil Daswani - Citi: Thank you guys and congrats again.
Lawrence Ho: Thanks a lot Anil.
Operator: Thank you. And the next question comes from the line of Karen Tang of Deutsche Bank. Please ask your question.
Karen Tang - Deutsche Bank: Hey guys, great job on the premium mass. My question is, as mentioned your win per table on mass is one of the highest in Macau. My question is how much more can it go up? Is there a threshold or feeling and are we doing it by adjusting more number of premium masses or are we kind of pushing the average spend limit? Thanks.
Lawrence Ho: Ted, can you get that?
Ted Chan: Yes, sure Lawrence. Hi Karen. Well we do not really put any pressure on the win per table in the mass area. I think it’s a function of the product and service side, I mentioned a couple of times. Also it’s also to justify the last few quarters. We put more tables onto the casino floor and it does not really dilute the win per table productivity into the mass area. So that was mentioned earlier; the optimization process, that can continue and we still see a lot of demand from this segment. So, I guess we continue to suspend a hold and also the precision of premium mass segment in Cotai.
Karen Tang - Deutsche Bank: Okay, great job. Thanks.
Operator: Thank you. And the next question comes from the line of Simon Cheung of Goldman Sachs. Please ask your question.
Simon Cheung - Goldman Sachs: Hello.
Lawrence Ho: Hi Simon, we can hear you.
Simon Cheung - Goldman Sachs: Sorry, I was on mute. Good morning everyone. Congrats on the great dollar reports. I have two questions; one, when I visited your casino recently, I observed that there is some renovation going on the ground floor; perhaps your adding some high end slot machine and also on the upper floor there seems to be some renovation going on as well. Can you talk to us a bit more about what sort of things you are planning to do and also the related CapEx. That’s the first question, and I have another follow up after that. Thank you.
Lawrence Ho: Simon, its Lawrence. I’ll let Ted give you the details and also Geoff on the CapEx. As we have always maintained, we want to give Dream City the premier integrated resort in Macau, not just Cotai and so far we’re very pleased with the various accolades and awards that we’ve got and you know with the build up of other integrated resorts in Cotai over the next two or three years and also with a new corner effectively being built, that will surround the City of Dreams, making really the City of Dreams the best located property in all of the world. We are committed to continue to invest in our property and deliver the new and exciting, both gaming and non-gaming attractions and amenities. So, I think on the ground floor with the great new high limit slot area, its probably best in class that we’re building and Ted you wanted to talk about that and also as we previously announced, we’re building a new mass leverage experience on the second floor as well. So maybe the details on that, Ted talk about them.
Ted Chan: Okay Lawrence. I think after the successful few years, in terms of table optimization and succession of premium mass. We also identified similar story for the slot market in the City of Dreams, and in particular driven by the service quality that demand by this segment of customers. So we decided to focus a little bit on this potential. So that’s why we are creating a new high limit slot area near the Crown Tower area, so that’s on the ground floor, the casino floor. On the second floor we are developing a more like entertainment combined with F&B concept area and I think we are trying to put more energy on level 2, expanding the quality area for us to further expand and also potential it for some more gaming positions on level 2, the processes advantages brought to level 2. So in terms of timeline I think we’re shooting for somewhere in the middle of the year, capturing potential in the summertime. I’ll leave it up to Geoff to talk about the CapEx.
Geoffrey Davis: In total the CapEx is roughly $30 million for both projects.
Simon Cheung - Goldman Sachs: All together $30 million?
Geoffrey Davis: Correct.
Simon Cheung - Goldman Sachs: Okay great, thank you. The second question is related to your oversea expansions. Just wondering Lawrence, have you thought about you know, if you were to go to Japan, are you thinking of Osaka versus Tokyo and are you more interested in majority stake, in the minority stake, you know just wanted to get a bit more sense, how your thinking about your overseas expenses. Thank you.
Geoffrey Davis: Sure Simon. I think like other global operators, we are eagerly anticipating the government to make the next move, because as you know there is going to be discussions this and the buyer in this session and I think most sell side and also the people with knowledge of the current progress is that the legislation or at least the first scale will probably get us through some time in May and June, which will kick start the process for the next year, leading into a requested proposal, beauty contest in a year and a half, two years. I think we really need to see what the government decides on and that one, integrator results in major cities like Tokyo and Osaka or is it two each, and what’s the status of the regional casinos and the regional integrator results and what are all those cities. Naturally Melco Crown being one of the bigger competitors participating in the process would be more interested in the metropolitan bigger city areas, but as a company we are very dynamics and open minded we will see. And we have had early discussions with Japanese partners and our goal over the last few years has been as part of our lobbying process, that we’re very open minded to working with partners as long as there is value being added. And so there’s a lot of discussions that we’re still waiting for the governments next move. So, I think that’s kind of the basis of it and from a integrated resort standpoint. I think ultimately, this is about the experience of building these things and operating gaming and non-gaming amenities. So naturally I think the integrated resort partner like us would have a majority stake, but again we’re very open-minded and we would love to discuss it with the government agencies.
Simon Cheung - Goldman Sachs: Great, great. Congrats on a great result. Thank you.
Geoffrey Davis: Thanks Simon.
Operator: Thank you. And the next question comes from the line of Praveen Choudhary of Morgan Stanley. Please ask your question.
Praveen Choudhary - Morgan Stanley: Thanks very much and great results once again. Thanks for announcing the dividend as Lawrence. I have two quick questions; one is on Altira. I understand that you are tweaking the business, but I’m still surprised with the performance at Altira, if I have to compare that with Galaxy StarWorld. It’s not an apples to apples comparison, but still the EBITDA per table for Altira is dramatically low compared to any of the similar sized hotel casinos. The point I’m trying to make is, do you think there’s a huge potential to upgrade it or do something with it, so that in the next one-year or two year you can see the transformation and I have a follow-up question. Thanks.
Lawrence Ho: Hey Praveen, thanks a lot for that. I think we are actively monitoring and managing the businesses at Altira and your right, from an apples-to-apples basis it’s a hard comparison, because Altira is in a standalone location. Its not in the continent, it is not in the peninsula cluster and is also not in the Cotai cluster. I think what we have going for Altira is again, it’s the longest winning four, five star hotel in Macau and it does have a strong chunk that’s following from the early days. But I think the metric that we continue to look at is at the EBITDA generation per table and the VIP segment in Altira continues to go up and is in the right direction. It’s really a business that we’ll continue to monitor and we continue to improve on it as well. But Ted, do you have any other thoughts?
Ted Chan: Yes Lawrence. In terms of the per table EBITDA, I think if we divided into mass and the VIP, I think VIP we’re doing at par with the market in terms of EBITDA per table, as well as the sequential and year-over-year growth phases. The mass is really about our process in optimizing table, moving some table from VIP side to COD and I think we are creating a space and that is also creating opportunity for us to invite some quality operators into Altira in the future quarters.
Praveen Choudhary - Morgan Stanley: Great. The second question I have is on City of Dreams. Again, this is a very rough calculation, so I could be wrong here, but it seems that your operating expense on City of Dreams on a per day basis has been rising for the last two quarters sequentially, and while the revenue is growing very fast, so the EBITDA margin is obviously fine. What I’m wanting to understand is, is there anything else that’s gone on to increase your cost at such a fast clip, especially because I suppose 20% of your business is direct VIP where you pay, I suppose again 1% or 1.1% and so that’s a fixed number. So when you have a good lot, you actually should have a massive operating leverage. I just don’t see that much leverage, because your cost has gone up in my numbers. So I would love some clarification there please.
Lawrence Ho: Hey Geoff, can you take that?
Geoffrey Davis: Yes. One thing to note, that on premium direct we actually didn’t hold well in either one of those quarters, but generally there’s really nothing unusually to speak of in operating expense at City of Dreams. Revenue growth has obviously out paced cost growths; we’ve seen margin expansion, so generally we’ve been very pleased with overall on how things are trending and how we are able to maintain cost. The one thing to note I suppose is that given the strength of the year, particularly in the very strong fourth quarter that we’ve had, that the bonus provision for the 4Q quarter was modestly higher than what it had been trending in previous quarters, but those are relatively small numbers, but it might explain some of the variance you’re talking about Praveen
Praveen Choudhary - Morgan Stanley: Thanks Geoff. Despite me searching for issues here, I must say this is a great quarter and you have done that for the last three years, every quarter. So congratulations once again; well done!
Lawrence Ho: Thanks a lot Praveen.
Operator: Thank you. And the next question comes from the line of Bryan Maher of Craig-Hallum Capital. Please ask your question.
Bryan Maher - Craig-Hallum Capital : Good evening guys, great quarter. Can we get a couple of housekeeping items, such as City of Dreams Manila; do you have a opening month yet on that?
Lawrence Ho: Hi, it’s Lawrence here. Again, we’re targeting later this year and around the middle of the year. So I think the important thing here is that we really want to open it right and I think we’ve seen some of our competitors rushing their openings and that’s never a good thing. And since this is the City of Dreams Manila won’t be the first integrator resort to open in Manila. We really want to ensure that Melco Crown Entertainment, when we open our facility, we’ll really deliver a fantastic experience on day one and so we really do want most of the amenity and attractions to be ready and open and so we came here to monitor the construction betas. But so far we are pleased with it. So all we can say is it’s going to be around the middle, in the second half of the year.
Bryan Maher - Craig-Hallum Capital Group LLC : And then as it relates to the Tower 5 at City of Dreams, is there any more color you can give us other than kind of what we are seeing, the cost, systematic that we could look at, opening a more focused opening date, that type of stuff.
Lawrence Ho: Yes, we also are having a big PR event sometime within the first quarter to unveil the various designs, budget and details of [Tower D] (ph) or the fifth Tower at City of Dreams. We continue to be very excited about it. We saw it and made sure it works onsite, so there is activity there. So we’ll be announcing more as part of that PR event at some time in the first quarter.
Bryan Maher - Craig-Hallum Capital Group LLC : Okay thanks, and then lastly on Studio City, has there been any changes with respect to your thoughts on the budget, the timing of that, increases in tables or decrease in outlook for table, and are you running into any labor problems at all; and that’s my last question.
Lawrence Ho: Well, for Studio City we’re extremely pleased with the progress. The podium is effectively, the concrete work is effectively completed. I think the people in Macau and you can see – if you’re in Cotai, you can see the significant progress at Studio City that’s made. We couldn’t be more pleased with it, and the transfer slab at the Tower is going up as we speak and we are targeting a popping out of the entire company and Macau Tower around late summer, say early September. And so everything is going according to plans, on time, on budget and it’s a very significant and substantial structure, and so we are happy for us to be the next stand-alone integrator resort to open in Cotai. In terms of budget, I don’t know if Geoff you have any additional color; go ahead.
Geoffrey Davis: Well, very simply on time, on budget.
Bryan Maher - Craig-Hallum Capital: Great. Thanks so much guys.
Operator: Thank you. There are no further questions at this time. I would now like to turn the conference back to today’s presenters. Please continue.
Geoffrey Davis: Yes, thank you operator and thank you all for joining us. We’ll see you in three months time.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for your participation. You may all now disconnect.